Operator: Welcome and thank you for standing by. We want to welcome you to the Ocwen Second Quarter 2012 Earnings Conference Call. [Operator Instructions] I’d like to inform all parties that this call is being recorded. If you have any objections, you may disconnect at this time.
 I’ll now like to turn the call over to Mr. John Britti, CFO. You may begin, sir. 
John Britti: Thank you. Good morning, everyone, and thank you for joining us today. My name is John Britti and I’m the Executive Vice President and Chief Financial Officer of Ocwen.
 Before we begin, I want to remind you that a slide presentation is available to accompany our remarks. To access the slides, log on to our website at www.ocwen.com, select Shareholder Relations, then under Events and Presentations, you will see the date and time for the Ocwen financial second quarter 2012 earnings. Click on this and register. When done, click on Access Event. Finally, select how you wish to listen to the event either Adobe Flash Player or Windows Media. Each viewer will be able to control the progressions of the slides during the presentation. To move the slides ahead, please click on the grey button at the bottom of the page pointing to the right.
 As indicated on Slide 2 of our presentation, we may make certain forward-looking statements pursuant to the Safe Harbor provisions of the Federal Securities laws. These forward-looking statements may be identified by reference to a future period or by use of forward-looking terminology. They may involve risks and uncertainties that could cause the company’s actual results to differ materially from the results discussed in the forward-looking statements.
 For an elaboration of the factors that may cause such differences, please refer to the risk disclosure statement in today’s earnings release, as well as the company’s filings with the Securities and Exchange Commission, including Ocwen’s 2011 Forms S-3 and 10-K and the first quarter 2012 Form 10-Q. If you’d like to receive our news releases, SEC filings and other materials via email, please contact Linda Ludwig at linda.ludwig@ocwen.com.
 Our presentation also contains references to normalized results, which are non-GAAP performance measurements. We believe these non-GAAP performance measures may provide additional meaningful comparisons between current results and results in prior periods. Non-GAAP performance measures should be viewed in addition to, and not as an alternative for, the company’s reported results under accounting principles generally accepted in the United States.
 As indicated on Slide 3, joining me for today’s presentation are Bill Erbey, Chairman of Ocwen; and Ron Faris, President and Chief Executive Officer of Ocwen.
 Now, I will turn the call over to Bill Erbey. Bill? 
William Erbey: Thank you, John. This earnings call marks a couple of records for Ocwen. The second quarter of 2012 achieves new records for revenue and income from operations. Revenue for the second quarter of 2012 came in at $211.4 million while income from operations was $125.5 million. Both numbers are roughly double the levels of the second quarter of 2011.
 Our net income of $44.8 million would have been a record, but for the fact that 6 years ago, we had a large credit to income tax expense making this only our second best net income quarter. These records reflects something we as an emphasizing on prior earnings calls, that is, the earnings power of our business model as deals mature.
 Most investors focus on growth and we certainly see a very strong new business environment. However, I’m not certain that the earnings power of the business already on the books is fully appreciated.
 Slide 4 shows how we think about acquisitions in terms of the earnings profile over time based on 6 actual deal pro formas. As you can see on the left hand graph, capital of requirements start high and come down as we improve delinquencies and collect advances. Moreover, we incur our highest expenses upfront as we invest in loss mitigation resources and pay transaction related costs. As advances and expenses decline, returns increase over the first 24 months and then level out as seen in the graph on the right hand side of Slide 4.
 Ron will cover our operating performance in more detail later, but Slide 5 shows how we have consistently met or exceeded our delinquency in advanced reduction expectations with the new deals developing as planned.
 The Litton deal is only starting to reach higher margins now, while the Saxon and Chase deals are still on their very early phases. Thus we expect improved returns and profits over the next several quarters, even if we were to experience no growth in our servicing portfolio. This higher level of profitability should continue over the next 4 years as increasing margins offset run-off as portfolios mature.
 With regard to growth, the second quarter showed that we continue to close new business opportunities and that our pipeline remains large and diverse. In the second quarter, we closed 4 acquisitions of mortgage servicing rates, totaling $42.2 billion. On top of these deals, we afforded almost $2 billion worth of delinquent subservicing from a large bank, and further $1.1 billion delivery was made on July 31, and we expect to see regular deliveries of delinquent loans from this large bank in the future.
 We are engaged in conversations with other major banks regarding similar arrangements and we would expect this to become a sizable component of our new business. This subservicing is generally 100% delinquent, so it represents earnings growth far larger than similar UPB on sub-prime and particularly prime loans. Moreover, it is very efficient from return on capital perspective as the arrangements do not require us to advance principle, interest, taxes or insurance as we do for owned MSRs.
 In July, Ocwen closed the acquisition of a Fannie MSR from a financial institution and we close another Fannie MSR acquisition on September 1 from West Coast Mortgage Bank. These deals will add $2.7 billion of UPB to our GSE servicing portfolio. These fields show the scope of our business opportunities as we’ve added sub-prime, as well as GSE/prime loan servicing for both the seasoned and newly originated loans.
 Our new business included both residential and small balanced commercial servicing; the nature of the deals included both subservicing and the acquisition of mortgage servicing rights. The second quarter also showed a trend we expect to continue in our new business as subservicing and GSEs, MSRs become larger components of our growth.
 We believe that the solid UPB growth in the second quarter is indicative of the new business pipeline. Excluding the ResCap transaction, we are currently tracking new business opportunities with UPB in excess of $400 billion. The ResCap deal, on which we intent to bid, has approximately $200 billion in mortgage servicing rights and over $150 billion in subservicing.
 As we have stated publicly, we expect Ocwen to be a competitive bidder for ResCap. I would note a few things about this deal to put it in perspective. First, based on the stocking towards bid for the servicing and origination platform, the overall investment required is less than what we paid for the Litton transaction. Secondly, from a scalability perspective, Ocwen servicing operation employs more people than the ResCap servicing operation. Lastly, ResCap employs a substantial offshore workforce and Ocwen has over 12 years of experience in managing overseas sources.
 We’re also seeing our investments in flow servicing channels begin to bear fruit. In July, [correspond] to one show a substantial growth its funding pipeline; in addition we launched our co-issue business with our first settlement in July. The combined funding pipeline for these businesses is approximately is $195 million. These efforts will still remain early in their development, but we are confident that by 2013, these will be substantial contributors to Ocwen’s portfolio acquisition capability.
 As our GSE business has been expanding, we have been building out our capability to refinance loans under the HARP II program. We would expect to see some impact of this on our revenue in the second half of the year. So the impact will be limited by the relative size of our GSE portfolio, which currently constitutes only about 10% of our total UPB. The remainder of our portfolio consists of sub-prime and other non-GSE loans, which are now qualified for HARP II.
 The good news is that these loans have voluntary prepayment rates of only about 2% even during this strong refinanced market. This is because the borrowers either don’t qualify for new loans or because of modifications have limited incentive to refinance, even if they could. While this dampens potential origination revenue, it also means that our portfolio has low prepayment volatility and more predictable duration in the GSE portfolios.
 As we’ve stated in the past, Ocwen is increasingly capable of funding all but the largest new business opportunities without issuing equity. Indeed, Ocwen has remained less leveraged than we could be in order to retain the ability to fund new transactions. If Ocwen were not anticipating growth, we would increase corporate debt to repurchase stock and increase returns to shareholders. Ocwen continues to generate very strong cash flow that has been used to self fund recent deals and build out operations to handle new subservicing.
 Operating cash flow for the second quarter of 2012 was over a $0.50 billion. Our borrowing capacity remains strong not only because of our cash flow, but the strength of our balance sheet. Advances are 79% of our total assets. These are exceptionally high quality assets because they carry virtually no credit risk. The only uncertainty is over timing of collections as home prices would need to fall by over 97% before we would have any impairment in our ability to collect advances.
 On top of these assets, Ocwen had $303 million of uncollected and unrecognized servicing fees related to delinquent borrowers as of June 30, 2012. Some services accrue these as revenue and carry them as receivable on their balance sheet. These unrecognized servicing fees do not appear on our balance sheet and Ocwen treats them as revenue only as they are collected.
 In addition, Ocwen treats its MSRs differently than many servicers. We carry MSRs at the lower of cost for market and amortize them over the remaining life. Moreover, valuation of our MSRs is based on industry level costs. If Ocwen were to take into account our 70% cost advantage and servicing non-performing loans, the implied value of our MSRs would be roughly triple their current book value, as shown on Slide 6. This earnings power embedded in our current balance sheet does not account for other sources of value such as superior advanced reduction capabilities and subservicing contracts.
 Yesterday, we completed our second flow transaction with HLSS selling rights to MSRs for approximately $2.1 billion of UPB. Further details on the sale were in our second quarter 2012, 10-Q filing. The strong pricing of HLSS’ stock suggest that we should be able to raise follow-on offerings in the coming months to further strengthen Ocwen's ability to fund new transactions and move toward our long-term goal of turning Ocwen in to an equity-like fee-for-service business. The impact of this should be higher returns on equity than we can achieve by keeping assets on Ocwen's balance sheet. The effective cost of capital for HLSS is between 8% and 9%, whereas Ocwen seeks a 25% pre-tax return on its capital.
 I’ll now turn the call over to Ron, who will cover our operating results and servicing capabilities in more detail. 
Ronald Faris: Thank you, Bill. As Bill mentioned, the integration of Litton continues to meet or exceed our expectations. As you can see on Slide 7, Litton revenues have ramped up as a result of our modification efforts that drove a 4.2 point decrease in delinquencies during the first half of 2012. The Saxon and Chase transactions, being new this quarter, have not yet seen the impact of our modification programs, but early results are very promising.
 It is generally true that when new portfolios transfer, delinquencies rise. Once again, however, as with the Litton transfer, our strong onboarding capability has immediately enabled us to improve performance. We saw non-performing loan rates fall by 1.8 points on the newly boarded Saxon portfolio and 70 basis points on the Chase portfolio.
 In the first quarter, we reduced overall delinquencies from 25.6% to 24.5%, excluding newly boarded loans that were on average more delinquent than our existing portfolio, the reduction would have been 1.8 points or 23.8%.
 We completed 21,943 modifications in the quarter, maintaining our strong pace from the prior quarter. The June rollout of HAMP Tier 2 is having a temporary dampening effect on modifications, as it requires reevaluating loans for the HAMP program. Nevertheless, we expect the longer term impact of HAMP Tier 2 to be positive as more borrowers will qualify for the HAMP program.
 For the third quarter, we expect modifications to be between 16,000 and 20,000. The HAMP portion of modifications increased from 14.8% in the first quarter of 2012 to 20.5% in the second quarter. Principal reduction modification, including our share depreciation modification or SAM, accounted for 68.3% of total modifications. SAM alone represented 28.3% of total modifications.
 As shown on Slide 8, we continue to make substantial progress in reducing advances. In the second quarter of 2012, new advances declined by $321 million, excluding advances acquired in quarter and the sale of assets in May to HLSS. As we included the asset sold to HLSS, the reduction would have $392 million. More detail on our second quarter results are available in today’s earnings release and our second quarter 10-Q, which we expect to release tomorrow.
 As Bill mentioned earlier, we are seeing an increasing opportunity to provide subservicing for banks. These opportunities in subservicing are bolstered by the Federal Bank consent order and the state AG, Federal Agency settlement, which have push banks to find partner that can help them meet government mandated goals. Ocwen has always viewed government settlements and agreements as de facto standards. But we have kept pace with the developments by updating our systems and processes to adhere to these requirements. This has positioned Ocwen as a strong partner and solution provider for banks subject to the settlements.
 Ocwen also bring other advantages to the subservicing business. Ocwen is the only industry player with an extensive record of boarding large transactions, while successfully reducing delinquencies. This capacity is crucial to banks with large servicing requirements. Industry observers believe that the settlement will expand to other banks, which will further support subservicing growth. In addition, we expect to see subservicing opportunities on newly originated product from smaller players that historically sold servicing, but are now choosing to retain servicing.
 Ocwen’s reputation as a specialty servicer is an important component of what helps us grow. Over the years, we have consistently demonstrated our performance in 2 ways. First, we have had excellent results in what amounts to a real world experiment comparing servicer performance. Note that prior to our acquiring them, Saxon, Litton, and HomEq, although highly respected servicers, were all losing money. Having boarded these portfolios on our platform and rapidly reducing delinquencies, we are now earning a strong return on our investment.
 Second, Ocwen is consistently ranked as a top subprime and specialty servicer in studies conducted by third parties. These analyses were not commissioned by Ocwen, but they represent objective evaluations of performance. For further information on these studies go to ocwen.com.
 The last topic that I wanted to cover is the news of local governments potentially using eminent domain to force performing loan sales to private investors that would then modify these -- the loan terms. So I won’t comment on the wisdom of government intervention in private contracts, we don’t believe that Ocwen has substantial exposure for a variety of reasons. First, any actions are likely to be tied up in court actions for many years as there are important constructional issues that would likely be argued all the way to the Supreme Court. Second, the concept appears confined to a small number of localities. Third, Ocwen's commitment to sensible loan modifications and it helping borrowers stay in their homes means that we have, in many cases, done what the local governments are seeking to do, albeit via more direct means. Lastly, even under a worst-case scenario, we do not see any risk to our collection of advances.
 Now, I would like to turn the call over to John Britti. John? 
John Britti: Thank you, Ron. We only have 1 normalizing item to mention on Slide 9. We incurred $1.8 million in transaction related expenses. All of these expenses were for the deals that closed in the quarter; backing these costs out of our pre-tax income result in normalized pre-tax income from continuing operations of $72 million for the second quarter of 2012. This is a 71% improvement over Q2 2011 and a 35% improvement versus the first quarter of this year. These improvements are largely attributed to growth in our servicing portfolio and our ability to reduce delinquencies in unit cost.
 At the end of June, Ocwen’s liquidity position is measured by unencumbered cash plus unused collateralized financing capacity was $128.1 million. This was equal to our cash position at the end of the first quarter because we borrowed under advanced facilities to support the 4 deals that we closed in the quarter.
 Cash flow from operations in the second quarter of 2012 was a robust $527.6 million. This strong cash flow from operations allowed us to call all $26.1 million of our 10-7/8th Capital Trust Securities on July 31.
 In the second quarter of 2012, Ocwen also paid down its senior secured term loan debt by $21.5 million and will make a further $7.2 million pay down as a result of yesterday’s low asset sales to HLSS. As we anticipate further asset sales to HLSS and the ability to borrow in the senior secured debt market, it is likely that Ocwen can fund substantial additional growth without issuing new equity. Thank you.
 We would now like to open up the call for questions, operator? 
Operator: [Operator Instructions] Our first question comes from Mike Grondahl. 
Michael Grondahl: First question is just gets at revenue. Servicing revenue as a percent of average portfolio was up about 10 basis points sequentially to about 74 basis points. Is that a level to use going forward or does it trend back down a little bit? 
John Britti: I think if you look at Slide 7, you can get a pretty good indication of how we can maintain those higher levels for an extended period of time. They don’t trend down immediately. I think long-term certainly they will revert to closer to the 50 basis points on a contractual level. But as you see, it’s just on the facts and portfolio, we remained elevated for several quarters and it is sustainable for some period of time. And as we mentioned, we have delinquent servicing fees of over $300 million. And that’s what drives up that higher level of earnings. 
William Erbey: John, I might point out that when they return at the contractual level of 50 basis points, we’ll have 0 advances in virtually all employees. 
Michael Grondahl: All right, got you. And then just on interest expense, it looked like the average rate picked up a little bit to about 7%. What do you see as that rate going forward? 
John Britti: Interest expense picks up to some extent because of the -- as we’ve explained in the past, because of HLSS transaction. But I don’t think, in fact our interest expense and the rates that we’re paying are actually falling, and we should expect that we should be able to control that better than we have in prior quarters going forward. 
Michael Grondahl: Got you. And then, Bill, could you give us some sense or range of UPB that you think you would add over the 6 to 12 months? 
William Erbey: You know how much I hate that question, Mike. I think that I’d defer on that. We certainly have an extremely robust pipeline. You’ve seen the amount of business that we have been able to book in the first half of this year, so we fully perceive we will continue to be able to grow. But I think that given the nature of this business, trying to forecast specific growth rates is a very difficult because the deals are extraordinarily --tend to be very, very lumpy. We are, as you do see, however, we are gaining a reasonable amount of flow business, the business that will come in, quarter-after-quarter and hopefully grow, but you still are subject to large transactions that there are extremely difficult to forecast their timing. 
Michael Grondahl: Okay. On that flow business that is a 100% delinquent, the profitability on that must be much greater several times your traditional business, is that correct? 
John Britti: From a return on equity standpoint it certainly is; it is very molecularly required. 
Michael Grondahl: Maybe just lastly, Bill, in thinking about ResCap transaction, what is Ocwen’s weakness in going after that? I mean, where is the hole or Ocwen’s weakness, I mean it seems like you have a number of strengths, but I am trying to just think, what makes it challenging for Ocwen? 
William Erbey: It would be more on the origination side of the business as attended to the GSE portfolios. However, as the transaction month-after-month moves on with a very rapid prepays at those portfolios, and not those specific ResCap, that type of product is experiencing very, very rapid prepayments. So it actually becomes less significant as the months roll by. 
Operator: Our next question comes from Ryan Zacharia. 
Ryan Zacharia: I got a few of them. Can you just explain the sequential increase in expenses, operating expenses relative to the increase in UPB, we saw this last quarter as well. And since Q3 ‘11, your UPB is up 50% on average, but your operating expenses are up about more than that. So maybe we read into this that it’s just costing more to service these days with no point of contact and complying with some of the regulatory changes? 
Ronald Faris: So Ryan, this is Ron. I don’t know that we would have necessarily attribute it to those factors. Although we have taken certain steps which do have modest increases in expenses related to those factors. But I think it’s more of that function the fact that we did overhire as part of the various transactions that have come on. And we are in the process of correcting that through a combination of additional growth, normal attrition and rightsizing through reductions of low performers. Growth does compress margins as we are at our highest spending prolonged early on as we invest in loss mitigation and cover up front boarding cost and transaction related expenses. So margins improve as deals mature, so we would attribute it to those factors mostly. 
Ryan Zacharia: So how much of the operating expense do you think embed or contemplate future growth? We saw operating expenses rise 20% and sequentially I wasn’t expecting that because I thought that there was a lot of kind of ramp for Saxon and JPMorgan already in Q1 which I thought was high, so how do we think about the addition of UPB and incremental operating expenses going forward? 
John Britti: Ryan, maybe you can help me understand what the increase you’re looking at in our -- is our trial operating expenses declines slightly, total operating expenses. 
Ryan Zacharia: Operating expenses netting out onetime expenses, and not including amortization. 
John Britti: Okay. Because part of the issue you had during the first quarter while you incurred a bunch of transaction related expenses, we were ramping up our operations in that quarter and I think our guidance was that -- we would be maintaining our level of operating expense and I think that’s pretty much what we’ve done in the second quarter. 
William Erbey: Let me try little bit, Ryan. Your point is an excellent question. I mean the good about it is that expenses are slightly more controllable in revenue. And I think a couple of thing -- you have to look at it from 2 perspectives. I would look at it as a margin question as opposed to an absolute dollar per UPB or dollar spent per UPB. The first thing that’s happening is we are seeing shifts in our business composition. It's still very profitable business, but highly delinquent portfolios, we have much higher staffing levels, but much higher incentives arrangements with regard to those. So we don’t consider that to be a low margin product, so you will see expenses go up. We’re getting product that has to be conducted in the United States and we’re getting paid for that. So, we will see some, if you will, secular change as a result of that type of business. But overall, I think as Ron said, we would expect in a steady state basis, our margins to be stable to improving from what they were. But as we add new business, a, it is more expensive when you board, and that’s part of that whole ROE ramp that occurs. We show on Slide 4, we spend a lot of money up front to drive down advances and we’ve -- and delinquencies and advances and you’ve seen that in these portfolios. They have come out of the shoot from the day of transfer almost that we’ve been able to drive down delinquencies, which is almost unheard of in the business. And the second is we did overhire and we intend to adjust that, but if we’re not -- we’re working very, very hard constantly to try to improve the effectiveness of our servicing operation, which by perforce actually reduces our costs. We’ve been very effective over the years at continually making ourselves more efficient, and we don’t see any reason for that not to occur. So we’re very mindful of the fact that that our costs were higher this quarter, and I think you’ll see management take appropriate steps to deal with that. 
Ryan Zacharia: Okay. Can you give a little bit more color on this MSR funding vehicle that was mentioned in the text of the press release? 
Ronald Faris: You mean HLSS? 
Ryan Zacharia: Is that what it’s referring to? It's that entered into 3 new servicing advance facilities and in MSR funding vehicle? 
William Erbey: I am sorry. John, would you like to take that? 
John Britti: I can take that. I mean that’s -- historically, we have not financed really since going back probably to the mid 2000’s, financed directly our MSRs. But on one of the transactions that occurred during the quarter, one of the GSE transactions we were able to actually finance a portion of the MSR through a funding vehicle. 
Ryan Zacharia: What’s the cost of that? 
Ronald Faris: The details on that will be in our 10-Q. I can -- 
Ryan Zacharia: That’s fine. And then on delinquent sub-servicing, that’s kind of fee for service business, what kind of fees do you get on that? 
John Britti: Fees are not, they don’t tend to be in basis points. We have a whole -- we get incentive fees as well as fees based on -- typically based on loan level status. And so it’s hard to quote a number even if -- and I wouldn’t quote a number because those sub-servicing contracts tend to be private contracts with confidential terms and we also wouldn’t disclose it because we would want to provide information that’s valuable to competitors. 
Ryan Zacharia: Right. Did you guys have any onsite exam yet with the CFPB and has anything happen with FTC civil investigative demand? 
Ronald Faris: We have had no onsite exam from CFPB. We have been made aware that whatever it was that the FTC was looking at, they have handed off to the CFPB, but other than that we don’t have any other updates. 
Ryan Zacharia: And then last question, just on the agency MSRs, can you give us a little bit a color about what those are, are they largely performing, what’s the vintage, what’s the coupon. And then how are you handling resize in that portfolio? And how does the tie-in with vendors who want to potentially correspond want to work? How do you potentially recap share resize in that portfolio? 
William Erbey: Well, let me first, the vintages tend to be that pre-2008 -- so 2004 to 2008 would be the dominant portion of them, it’s not entirely that. But they tend to be of larger portion. They tend to higher than average delinquency rates for GSE portfolio -- for GSE loans, but lower than subprime. But it is -- it does appear based on the deals that we’ve seen in pipeline that it would be wrong to suggest there is a single metric that I could use for that because the deal we just did had about, I think, they’ve got a 15% 90 plus delinquency rate, but we would -- we’re seeing some in the pipeline that might be much higher than that. So I don’t want to lead you astray with that. We also -- I think as we mentioned in our prepared remarks that we do have the option of being able to refinance these loans for HAMP 2 and we have been working with some lenders -- one lenders on other activities that might be related to originations, but I don’t want to get into detail on that. But we do work with occasionally with lenders when lenders on that. 
Operator: [Operator Instructions] Our next question comes from Bose George. 
Bose George: Actually first thing, do you have an average servicing portfolio size for the quarter? Just given the timing of stuff coming in, it was a bit hard to calculate? 
William Erbey: Yes, hang on a second, I think we targeted 125 average for the quarter below, let me not -- let me check that number. 
Ronald Faris: I mean, Bose, to think about it, the Saxon and Chase deals closed on April 2, so they were there for the entire quarter. The larger GSE portfolio that we had announced earlier came on around mid June, so there was a little bit of things that occurred in the middle of the quarter, the rough $1.9 billion of the small commercial thing came on at the beginning of June, but the big subprime deals were there for the whole quarter and the big GSE portfolio came on mid-June if that helps you, but we’ll also try to get that number out as well. 
Bose George: So when you think about the $303 million of deferred servicing, is there kind of a weighted leverage life we can use to run that through earnings? 
John Britti: I mean, it never really goes to zero, but because there is some replenishment to the extent that we have outstanding delinquencies. But I would just going to say, I think it’s fair to say that the way those are collected kind of happen in 2 big chunks. One is as a result of resolving loans through -- primarily through modifications or other non-foreclosure method, and then secondarily through foreclosure and REO sale. So I think that the longest period of time would be related to some kind of average time line of resolving loans through that period and I think that should run no longer than, say, like 2 years. 
Bose George: And that’s 2 years for the foreclosure bucket and something much shorter for the modification bucket? 
William Erbey: One thing on that slides that show our delinquencies is coming down, you take each of the deals and multiply times the UPB and the runoff, you take the run off of UPB, take the delinquency percentage times and then that’s how you would, I would suggest you would amortize that DSF, Deferred Servicing Fee, into income. 
Bose George: Okay. That makes sense. And then just a quick follow up on the expenses. Is this quarter’s number a reasonable run rate for next quarter, assuming no meaningful acquisitions or other changes? 
Ronald Faris: Yes, I mean -- I think if you back out the one-time acquisition cost that we talked about, and as I mentioned, we continue to try to right size for some of the overhiring, but I think that what you’ve seen this quarter is a reasonable expectation for steady state for at least this quarter. 
Bose George: Just -- and one last thing on HLSS, in terms of your decision to move steps to HLSS, is that, going forward,  just contingent on HLSS having the capital or do you -- need other investment opportunities or just how you are thinking about that? 
William Erbey: It would -- HLSS’, and that's being somewhat careful in how I speak about another company, but HLSS’ capacity to buy as it is related to its flow deals that we just, the 2 flow deals we did it was really through, primarily through excess cash that we generate over and above earnings and the dividend, and then basically to do a larger deals we need to do a follow on offering. 
Ronald Faris: Yes and so both and I think from Ocwen’s standpoint, we are prepared assuming the pricing is right and everything to sell additional assets to HLSS, whenever they are in a position to acquire them. 
Operator: Next up is Ken Bruce. 
Kenneth Bruce: I guess I would like to also delve into the sub-servicing a bit more. I understand you’re not going to provide us with some of the revenue items. But just in terms of the way to think about this business as it grows, what -- how should we -- are these performance related fees solely so there is no kind of incremental revenues associated with them, or what’s the general top line and then if you could just give us some sense as to how to think about margins on the sub-servicing please? 
John Britti: I’ll take that and Ron you can jump in if you like. But I think the, first of all, generally the contracts have regular servicing revenues associated -- monthly revenues associated with status of the loan. So typically based on how delinquent it is or whether it’s in bankruptcy or foreclosure or [indiscernible, for example. And then in addition to that, there are incentive related fees for modifying the loan or other short sales or other activities that we might engage in for loss mitigation. I think one way to think about these would be from a gross margin standpoint, they would tend to be not that dissimilar from what we get across our business as a whole. 
Kenneth Bruce: And then in terms of the scope for this part of your business to grow, is this -- I know in prior quarters you’ve had this discussion as to whether the market was tilting more towards sub-servicing or asset sales. How do you see this particular piece of the business growing with the opportunities that look like? 
Ronald Faris: I think we continue to see both. We continue to see that there is both opportunities. There is going to be MSR opportunities and there is going to be sub-servicing opportunities. I think the important thing to keep in mind is what we kind of referenced in the prepared remarks is, now that we’ve done a couple of transactions with one large bank, it means that we’ve gone through there process and been improved through their process, which, as you are familiar if you look at any of the OCC consent orders, there is pretty robust vendor management requirements for the large banks, we mentioned in here that we are working with at least one other bank going through a similar process. So as you get through those processes it opens up the opportunity to start receiving business from them. We do think, as we said in the prepared remarks, that with some of the settlements and things that have been out there in the industry, it provides added incentive for certain big players in the market to utilize services, specialty servicers like Ocwen. So I think over time, it will become a bigger piece of our businesses just because we're getting approved to the process and I think with the settlements now sort of clarity on those it allows the other sides to start executing on their strategies, but we would definitely expect to still see MSR transactions as well. 
Kenneth Bruce: Okay. And then as you look at these different opportunities, are you contemplating being able to leverage your offshore capabilities more or less within the sub-servicing kind of get to that some of these questions around the expense management in rightsizing the operations? 
Ronald Faris: Look we, it’s a little hard just to focus on expenses, I mean, I think like Bill said, it's best to focus on margin, because we're indifferent to where the work is done, but we would expect that if there is requirements to do certain things on shore that we would then receive higher revenue. So it's more about margin than it is about where the works going to be done and what, it’s very difficult for us to give you projections on what the cost are going to look like related to that business, because each transaction maybe different as far as what kind of work will be done where, but our intent is to focus on margins. 
William Erbey: Okay. I think we can say to date, Ron, that the sub-servicing we’re getting is heavy U.S. base component. But we are very comfortable with the margins that the business will generate. 
Kenneth Bruce: Good. Okay. And then I guess as a follow-up to that, you’d mentioned in expense management you want to right size or you’re correct, maybe what is a little bit of a bloat to cost structure. At the same time you’re talking about significant growth potential? You mean, how do we reconcile or how do you square that circle if you will? 
Ronald Faris: That’s a good question. I think when you look at where we were leading into the second quarter and through the second quarter, we had a number of signed deals that we knew for sure were going to occur or had very, very high probability and that allowed us to trigger making significant investments to make sure that we were prepared for those. We do intend to maintain capacity for the opportunities that are out there. So we will always be running here with some excess capacity to prepare for those. But I think what we’re trying to say is that, we overhire to make sure that we get the cover off the ball on the deals that we knew we had in hand and there is some opportunities for us to do some right sizing there, while still maintaining the ability to grow for opportunities that are out there. 
Kenneth Bruce: Bill, if I could ask maybe one question. You’ve mentioned in your earlier remarks about, the potential to effectively utilize the relationship with HLSS in the different cost of capital, and we often get a lot of question is there, why not just embed these businesses within there or have these embedded business within Ocwen why would the market effectively look at that similarly to the bifurcated businesses. You’ve made an art of bifurcating specialized assets, how do you look at that, at that somewhat theoretical question? 
William Erbey: Well. I don’t think the market has I mean, if we substantiated I think we’ve substantiated extremely low volatility of our asset base. That we’ve been successful and we have to be more successful as we get to what I would call the natural buyers of the product, but we’ve been successful in our limited sense are showing that the market should value our assets at around 8% yield. Clearly Ocwen trades at a much higher effective yield than 8%, I mean, multiples of that. Yes, so if you would just bring clarity to the assets then also on top of that the operating capacity of the business, Ocwen would trade at a, would trade at a multiple of its current share price. So I understand the efficient market arguments that I haven’t in our case, maybe it’s in our case I haven’t seen that occur. So we were trying to make it much clearer and more transparent to our investors and also it attracts -- one of the advantages is it attracts another set of investor’s people who want to get income and HLSS on top of that provides a very tax efficient means to pass that dividend through to those investors. So, we don’t lightly take, we don’t lightly create another company because there’s a lot of work overhead and some there is a degree of friction or inefficiency of doing that. We only try to do it where we think it can provide better clarity as to what that underlying business is all about. 
Operator: Our next question comes from Henry Coffey. 
Henry Coffey: 2 unrelated sets of questions and then kind of just this small item. As the business evolves, what are the limitations or restrictions on Correspondent One? I am assuming you have all your licensing done, you're testing out the software before exiting the wholesale and various correspondent channels in droves. What are the restrictions of turning that into a real active part of the business? And when you do that, can that become again another way, if you to take advantage of the resize and some of the agency MSRs you’re buying? 
John Britti: No we think it can. We’ve always been fairly cautious operationally as we start new businesses. I mean and unfortunately, the origination business is exceptionally hot right now. So, that costs us that cautioned, if you will, with regard to it. But the origination business, you need to do it well and understand as you need to do it perfectly, because of the ongoing reps and warranties that one is forced to make. You don’t want to basically be making tons of loans today, and then find out 3 to 5 years later that you’re writing, stroking massive checks with regards to it. So I think you’ll consider continue to see us in, I think, a very prudent manner try to grow that business. I think it will be tremendous long-term opportunity, I want to make sure out of the box that we don’t damage that franchise in any way possible, it’s important, we not only do well by Ocwen, it’s also important we do well but our business partners in terms of the members of lenders one, so its growing -- July was a very large increase from a very, very, very small base, so but you’ll continue to see that grow and we think it’s important asset and we want to husband it before we book. 
Henry Coffey: And when it becomes a meaningful part of revenue, it will show up as its own revenue line and ultimately its own business line inside of Ocwen in terms of whatever contribution is there, how would that ultimately work? 
William Erbey: Yes, I think you’ll see that report as John is probably -- knowing exactly what income line it will have, but I am sure we’ll have its own -- it will be reported separately as a separate line of income. 
John Britti: Once we deem it significant or material contributor, then we would likely break it out separately. 
Henry Coffey: And then on ResCap, obviously, you’ll be one of many putting in bid packages. We won't ask you too much, because obviously it's going to be very competitive, but there seems to be a regular news flow about activity surrounding that the law suits from some on the minority securitization holders is -- it’s almost like every other day. All item sales they said they wanted to fast track this thing. Can you give us some sense of what you think the ResCap timeline looks like and are there any sort of outside of structures so that they can really slow the process down? 
William Erbey: Well, fast tracking a bankruptcy process is -- 
Henry Coffey: Yes, yes, I know it’s like 10 years instead of 12. 
William Erbey: It's like an oxymoron. But I can actually more -- I think the bid is correct me if I am wrong, it’s around the end of October. And I don’t think the projected closing and I think this is public, it’s a public information, Ron-- 
Henry Coffey: 8-K all right, you guys. 
John Britti: Yes. No, it's public, I think; their intention is to close. They’d like to close around year end early 2013. 
Henry Coffey: And you haven’t seen anything that would come up to that process in a real way end? 
John Britti: Well, the problem with the bankruptcy process is, as you know, is that there are probably hundreds of things that can gum it up. So, we don’t, we probably, we haven’t seen anything because we only read what you read, which is public information. Or we can only disclose certainly and we don’t seen anything which would suggest otherwise is that, there is nothing right now, but there are any numbers of things that can gum up the process. So it’s hard to say. 
Henry Coffey: Small item amortization can cause, of course jumped up that’s the new acquisitions, this is the regular red line or is it that sort of taper off over time? 
Ronald Faris: Well, we did add some more MSRs at late in the quarter, so I wouldn’t just take the number that you saw in the quarter and say that’s the run rate because the amortization does tend to trend down over time. But we added more MSRs in late in the quarter to the big JC portfolio that we brought on. So you only had a very small amount of amortization for that particular… 
Henry Coffey: But there wasn’t any unusual adjustments in there or anything? 
Ronald Faris: No. 
John Britti: No. 
Operator: Our next question comes from Bob Napoli from William Blair. 
Robert Napoli: Most of questions have been answered, a couple -- just on the owned and this is a number question $175.8 billion of unpaid principal balance. How much of that is sub-servicing? 
John Britti: Currently in the current amount? 
Robert Napoli: Right. 127.8, how much of that was sub-servicing at the end of the quarter? 
John Britti: I’ll get you the exact number, but it would have been less than $10 billion. 
William Erbey: Yes it was 10%. I think right? 
John Britti: Yes. Well, but in these cases little bit, it's less than $10 billion. 
Ronald Faris: Actually John I think just, I think I’ve got it here. It’s actually about $15.7 billion is the sub-servicing component. That includes some of the commercial stuff that we do as well but most of its residential. 
Robert Napoli: The cash taxes in the quarter, what was the cash tax rate and what do you expect the cash tax rate to be with the next couple of years? 
John Britti: Well, actually we put up a -- the cash tax rate. 
Robert Napoli: That’s right. It’s right. [indiscernible] deferred tax asset. 
John Britti: Let me find the cash, we put up the 36% as our GAAP tax. I’ll get to that. I’ll get you that in a minute. Ron or Bill, you want to answer the future tax rate question… 
William Erbey: We think that our tax rate going forward will be probably by the fourth quarter significantly below our current tax rate. We are not 100% there yet with regard to that, but we do have the initial steps and approvals to effectuate a lower -- a significantly lower tax rate than we are incurring today. 
Robert Napoli: We can follow up on that. The -- just on the CFPB is there, I mean, what’s step is next with the CFPB. I mean, we’re not looking at our whole bunch of industries and really the amount of compliance work that people having to do in different industries is very substantial and with the servicing industry, what’s the next step with the CFPB and with Ocwen and with the servicing industry broadly? 
Ronald Faris: Well, the CFPB is made a clear that mortgage servicing is going to be an important part of what they are going to regulate and oversee. I think we look at having here a real regulator of our industry at federal level in the long-term provides some consistency in clarity on what the practices need to be. So we view that as a positive. The fact that there has been some pretty large settlements out there that have included best practice type standards, we would expect that the states and the CFPB’s at least use that as a starting point to look at what they are going to develop and the CFPB has announced that they will be coming out with their own standards and we’re waiting for that as everybody else is. But I don’t know that they'll, we’re not necessarily expecting any tremendous surprises from that in that there has already been a lot of information out there through some of these other actions that have already taken place. So yes, I mean, as a non-bank, we will eventually see them probably do regular exams and do what regulators do. But that’s pretty normal course type activity and we don’t expect that the policies or practices that they put in place to be anything that will create an undue burden for us. 
Robert Napoli: And just last question, on the Fannie Mae servicing, did you say who you bought that from how competitive, is that competitively bid was that? 
John Britti: It was competitively bid and we didn’t say who we bought it from. 
Robert Napoli: Okay and have you guys -- you’re not really getting any subservicing yet from Fannie Mae, is there any update on being able to get subservicing directly from Fannie Mae? 
John Britti: Well our understanding is there is not that much to be given anymore. By the way the only difference in our, we put an increase on a deferred tax asset of about $112,000. 
William Erbey: As you go in certain cases, Bob, as you asked you actually have -- servicers actually have a cash, as a cash tax rate that is above their actual reported GAAP rate. 
William Erbey: Bob, still you are in a little more about what -- are you asking the tax position? I think we are extremely close to on a project we have been working on for close to 2 or 3 years. Yesterday, we have received approval from the Economic Development Commission of the Virgin Islands. And they required one final signature to basically put that in place. So our expectation is that we’ll have a 30 year tax credits that will substantially reduce our effective tax rate going forward. 
Robert Napoli: I am sorry, tax credits that would take that rate down to -- 
William Erbey: We believe it will be mid to high single digits. 
Robert Napoli: Okay. And that is through the Virgin Islands, is, I mean, how do you… 
Ronald Faris: Yes. 
Operator: Our last question at this time comes from Jordan Hymowitz. 
Jordan Hymowitz: 2 quick questions because everything else has been answered. One, are you guys more focused on modifications on foreclosures at this point or is there an emphasis on one versus the other? 
William Erbey: I mean always been… 
Jordan Hymowitz: Let me ask that question differently. With the Fannie Mae contracts specifically, was there any additional push from more modifications even more so then you usually do? 
Ronald Faris: No, and with Fannie Mae you follow that the GSC rules. So I wouldn’t say there is anything beyond the fact and this is GSC there is anything different. 
Jordan Hymowitz: Okay. And I assume Fannie Mae approve this transaction from the bank that you purchased, correct? 
John Britti: They have to approve the transfer. 
Jordan Hymowitz: They have to approve the transfer? 
John Britti: Yes. 
Operator: I have no further questions at this time. 
Ronald Faris: Okay, well thank you very much, everyone. Have a good day. 
William Erbey: Thank you. 
Operator: This concludes today’s conference. Thank you for your participation. You may disconnect your lines at this time. Have a great day.